Gary Arnold: Good morning to you all. Welcome to all our investors, colleagues and then our Chairman, Theunis, and we have Willem and Bridgitte from our Board here today. And then as I walked in, Anthony Clark said to me, he thinks he must be in the wrong place because he saw the old bugger here. So welcome, Chris. Hello to you. Chris has joined us today. Anthony called you the old bugger, not me. But let's dive into the presentation. We'll try and stick to the time. As you know, we are always quite diligent on that, and we'll get into the business overview. Fortunately, all green arrows, and Chris used to have a comment for this, which I'll steer away from. But absolutely a good scoreboard, revenue up 10%. One always likes to see that growth in revenue. That ultimately is what drives the bottom line growth, especially in an inflationary cost environment, and we'll dig a little deeper into where we generated that additional revenue from a little later. Profits up 11% to just under ZAR 1.3 billion and then headline earnings up 14% to ZAR 21.93. We closed the year with a very healthy cash balance, just over ZAR 1 billion. And on that, we're able to declare a final dividend of ZAR 8.80 a share, taking the total dividend for the year to ZAR 11. So good cash generated from operations at ZAR 1.7 billion, up 20%, and we will spend a lot more time on those numbers later in the presentation. It's very pertinent to point out that this was a tale of two halves as we've phrased it. And I thought we should give just a bit of perspective on what changed or happened between the first and the second half. And at our interim results in May, you will recognize some of these outlook prospects that we put up on the slides at that time. And it did point to some of the key drivers in the business coming through, which at the time were supporting a better outlook for that half. And we said then that we expected good prospects for the current local maize crop. I think we were the only ones, if you look at that, the first crop estimate committee number was 13.9 million tonnes, and we ended up on 16.3 million. So Anthony, I think perhaps we were the only ones in the trade that saw this crop coming. And -- but anyway, be that as it may, we had some good procurement there, and that helped with softer feed prices that we spoke about at the time. We certainly had lower finished stock levels in poultry. And as you know, we increased volumes from the 9th of March, adding an additional 400,000 birds a week to our production. And then we spoke a lot during 2024 after the tumultuous years of '23 with load shedding and bird flu, where we set sail on this transition journey or this journey to turn around the results and Project 3R was launched, Re-set, Re-start and Re-focus. And this past year was a lot about Re-focus. It's just to focus on the basics in the business and those key drivers, particularly in the cost of producing chicken, which is critically important to achieving the results that we see today. So this is the -- you'll see the waterfall later as we've called it before for the year-on-year comparison, but that almost clouds out some of the tailwinds that we had in the second half. So I wanted to just point to the movement year-on-year, and we reported a ZAR 271 million profit for the first half. That was down significantly on the first half in 2024, about 60%, I think at the time it was down. But then you can see the impact of the selling price recoveries coming through. We had significant selling price deflation through 2024 and into the first quarter of 2025. We had to go out there and look for some support in selling prices. Broiler margins were reported at that time of minus 1.1% negative margins, certainly not sustainable in any business, never mind a poultry business. We increased sales volumes. One would expect in the slide that this bar would have had more of an effect, but we should remember that in the first half, we sold a lot of product out of stock. So if you look at the 2 halves together, more or less equal sales volumes, but the year saw an increase -- quite a good increase in sales volumes over 2024, supported by feed price. So feed prices in that half coming down nearly 8% in fact. But if you look at the year, feed prices went up marginally. So again, very distinct results in the second half to the full year picture. Full year picture, feed prices went up ZAR 19 a tonne. Here, they came down in that half quite significantly by 8%. That resulted in the full year profit for the year at ZAR 1,247. So the salient points, now looking at the year-end perspective, poultry feed costs increased marginally. I've just spoken about that. And there was a lot of volatility through 2025 in the local SAFEX market. We managed to procure well, and we'll look at a chart of where the prices were later on, but we managed to procure well through the cycle that when we priced our feed in the second half, the market had traded at very high levels through 2025. Anthony will tell you that maize touched ZAR 5,700 a tonne at a point. So when you have good positions and we are pricing the feed into the market at replacement cost because every day you use the feed, you've got to -- or the maize, you've got to buy more to replenish it. You have to manage that very well into the market so that you're not replacing your maize with much higher -- or you're replacing with higher price positions, but we try and just hold on to any procurement benefits that we might have. On-farm broiler performance has improved. So notwithstanding the slightly higher feed price, feed conversion efficiencies decreased. And that, as you will remember, is the amount of feed used for every kilo live weight gain. So we used less feed again this year for every kilo of live weight gain. And that basically nullified the impact -- sorry, of the higher feed price through the year. So on-farm broiler performance is looking good. We will look at those metrics later. As I've said, we increased our broiler placements, and we sold what we produced. So we didn't produce it and put it in a freezer. Even through winter in the second half, we were able to sell what we produced with very manageable stock levels at year-end. Poultry selling prices improved marginally. Year-on-year, the selling price movement was 2.4%. Again, stands in quite stark contrast to what happened in the second half where we managed to recover selling prices to move those broiler margins back into positive territory. And we also benefited, and I think you'll see that in the slide later from an improved product mix. Now that helped support the basket and better poultry selling prices through the year. Our Feed Division, as you'll see, reported very strong earnings. They, in this integration and something we will have to demonstrate to the Competition Commission when we talk about the poultry market inquiry is that an integration works for you. It works in that you are able to support that poultry value chain through the year. Now our Feed Division obviously benefited from higher broiler placement numbers. They had higher internal feed production. So feed internally went up nearly 8%. But they also managed to sell more feed in the external market, which you always want to try and do. You want to grow your external market and fill up that spare capacity that you have in your feed mills. Notwithstanding the impact of ongoing diesel and water supply costs, we still have an average ZAR 10 million a month bill for diesel and trucking water up and down. ZAR 120 million for this year on the dot. It's a significant cost, and that's all about municipal interruptions, supply disruptions. So when you hear about national load shedding, that's gone, that's great. You see that. You don't see your lights going off any longer, but the infrastructure and the municipalities needs a lot of work. We did benefit though from the higher volumes, and we can demonstrate that a bit later where the economies of scale have supported lower costs in the business, lower operational cost per unit. Stringent focus on working capital. I mean, we've kept our focus on that line throughout the year as we were in this rebuild phase of the balance sheet. Last year, we clawed all the debt back. This year, we set ourselves the task of building cash, healthy cash balance on the balance sheet that will stand us in good stead for any future headwinds that may come our way. And in the poultry industry, they do. Those of you that are very familiar with the volatility in earnings, you will see that -- we will see that somewhere, but at least we are well positioned to deal with it. And then you all know about the cybersecurity incident in March. The only thing I want to say here is that there was no impact on the integrity of the financial information. There was a very thorough investigation -- forensic investigation that went into this by 2 companies and then the auditors, Deloitte went through this thoroughly, and there was absolutely no impact, fortunately, on the integrity of the financial information or data in the business. So we can stand here and say that the results we present to you today are 100% untouched by some guy hiding in the shadows in Eastern Europe. Okay. For the year, this is the movement, and that's why I showed you the half-on-half earlier on because you don't see the impact of some of those key drivers in the second half if you look at just the year-on-year perspective. What you will see through this year, though, is the quality of earnings in 2025 improved. We had a ZAR 250 million insurance recovery in 2024, and that was on the back of a number of natural disasters in 2023, bird flu, floods in Meadow Feeds Paarl in the Western Cape at our feed mill and a hatchery in the Western Cape that burned down. So recoveries in insurance there, which did boost the results in 2024. So you can see through the year, we got that assistance from selling price over the year with that recovery primarily coming in the second half. Volumes increased year-on-year as we placed more broilers, sold out of stock and increased our sales. We got the assistance from feed in the selling price and the benefit from feed conversion efficiency with our on-farm performances and the cyber incident we've spoken about. So all in all, an 11% increase in PBIT year-on-year. This is a slide that really tells a good picture together with the next one. You can see that in our first half of 2025, those margins under severe pressure. When we stood here in May, we reported margins of minus 1.1%, certainly not sustainable, increasing to 3.9% for the second half. And I think if you reflect -- if we go back to 2022, that was a 3.5% margin and a 5% margin and returning profitability at that time of ZAR 1.5 billion. So certainly, if you have the margins and you have the selling price and you have your cost base intact, there are drivers in this business that can support future earnings. We just -- as you can see, and I've spoken of the volatility, I mean, you try -- we often get asked what's an average margin? What should we be penciling in? Well, if you -- my guess would sometimes be as good as yours, I think there's a lot of volatility in this, and we're obviously going to try and keep it as best as we can above this line, the black line, but it depends on numerous factors, some of which are under our control, some of which are outside of our control like this horrible year here. Broiler selling prices against food price inflation. So the poultry selling prices are in this basket, the food basket. You can see the price deflation that we recorded or reported on through from December 2023 all the way through until around April this year, where we were able to get a selling price adjustment into the market. And I just would like to point out that our selling prices now are on average the same -- at the same level as they were in December 2023. So with inflation and costs and everything in between, our selling prices now are not higher than they've been historically. So it's certainly not record highs for the selling price of chicken. And this, as you know, gets harder and harder to get into the market, always a tough discussion with the retailers. And then, of course, we're always very wary and mindful of the pressure on consumers. This graph, we've always said, tells the whole story. If you had one graph you wanted to put up to tell you all what happened to Astral through the year, this is it. Definitely a tale of two halves. So you can see that I've put a red block around that one, a disappointing result in the first half, but certainly a positive result in the second half, which returned the business to a good level of earnings and financial performance. Just to remind everyone, this is the month-on-month, year-on-year movement in the broiler selling price and then the feed price. So you can see the price deflation coming through quite strongly here in the first half. At the same time, off the back of a smaller maize crop in 2024, we had this -- we had higher feed prices. We had spike -- the spike on SAFEX yellow maize at this time, and we'll look at that graph a little later. But we were able to procure well enough that our feed prices were softer through the second half, but we certainly looked to get some improvement in selling prices to cover input costs. Otherwise, those negative margins would just reflect again on the scoreboard, which is not the business we're in. So on the raw materials, I'm not going to go through this whole balance sheet, except to say that, that's the small crop in 2024, relatively small crop, which led to higher prices for maize on SAFEX and higher feed prices that we had through the first half of 2025. We then had the market -- quite a lot of volatility in the market. The first crop estimate committee report came out with a 13.9 million tonne crop. The last report being the ninth report at 16.3 million tonnes. So through all of that uncertainty about delayed planting, the late rains, the grade issues, everything that followed, there was a lot of volatility in maize prices. And we eventually reported or harvested a crop of 16.3 million tonnes. Now the progress -- planting progress for the current crop is well above the 5-year average. Today, we're sitting at about 44% planted. So good progress has been made on the planting of the current crop, and we've had some good rains. So I expect and what we can see, we've moved into a La Niña weather pattern, which means -- usually means good rains for Southern Africa. And if these rains continue and it rains at the right time through the growing season, there's no reason why the prospects for the maize crop that will be harvested in 2026 will not be any worse than this year. That will support favorable maize prices into poultry feed. In fact, we believe that if we produce this crop, you'll see the carryout increase, we should move closer to export parity pricing. And there's probably about ZAR 200 a tonne downside in that on July 26 contracts, which are trading at the moment about ZAR 3,500 a tonne. So good levels for poultry feed. You can see the volatility through 2025 in the maize price. I mean you had to choose your moments here where you wanted to buy. But certainly, Astral positioned ourselves well through this volatility. We did not participate in this which is why you see those softer feed prices coming through in the second half. And then more recently, through the latter half of this financial year or calendar year, SAFEX has dropped quite dramatically on the back of the news of the big crop of 2025 and the prospects for '26. So all you can do in this market is just keep buying, hold a good position. As you know, we always have to have 3 months of maize in the pipeline. Here, you keep buying and every day you buy, you can reduce your average price. In a falling market, don't always look as good as you could be. But if you don't buy, you're going to be waiting for some bottom that someone must tell you where it's going to be and then you're really a speculator. You can see a little bit of an increase in SAFEX pricing just lately, and that was of some volatility in the Chicago Board of Trade with funds taking up longer positions on corn. Soy meal, this is a story to tell. I mean we really -- protein input prices are very good. We're well positioned here. If you look where the market came off about 2 years ago at record highs, ZAR 13,500 a tonne. You could flat price meal during the year now at ZAR 6,500 a tonne, good levels to feed chicken. And then, of course, the rand-dollar exchange rate, very stable, which takes those shocks out of any movement that you will see something coming through with shocks on Chicago Board of Trade. But with very good global coarse grain balance sheet, the world is not short of maize and soybeans right now. The U.S. has had a good crop, harvested a good crop now. South America has had a good crop come off. South Africa has had a good crop come off, and you can see that Chicago is trading those fundamentals. So good global outlook, good local outlook for maize and soybeans, and then you have some stability in the rand-dollar exchange rate, which brings that price relief or favorable pricing levels to SAFEX. Very quickly on the Feed Division, revenue up here 9%. That was driven by an increase in sales volumes of 6.5% and selling prices up 0.6%. So that selling price movement reflecting that increase in raw material costs across both years, not reflecting the softer feed prices in the second half. Operating profit up 31%. So you can see the momentum that comes through. You place more broilers on the end, they eat more feed, you get this big pull into the feed mills in Astral, and you have these volumes coming through. Then you add external volume growth to that, and this is -- you cover your fixed costs even better. You have better efficiencies in your feed mills coming through, longer runs of all the broiler feed we make, and then this is the result. So to the Feed Division and the Meadow Feeds, a really good result for the year. And I think this -- we only saw something like this in 2023 when we had all of those feed volumes going to the Feed Division on the back of load shedding and the big bird era, but the Poultry Division was suffering because of the cost. So this is really a true reflection of what the integration of the business can do. Margins up to 6.6%. And expenses on a rand per tonne basis very well controlled. You can imagine what these volumes do. We've seen the graphs for these 2, so I'm not going to cover that again. But the internal volumes up 8%, external volumes up 5.6%. And that growth was largely in the external poultry and pig feed sectors. So saw some nice growth there with some of that coming through in the Western Cape. Expenses well controlled. And again, we saw a net margin per tonne increase in the division. So a good return from them for the group. Sales mix here remained largely unchanged, still about 60%, more or less internal feed and the balance going into the external market with a very important component in the other being dairy, making up about 25% of the sales. The Poultry Division, we'll cover this in some detail. Revenue up 10%, driven by volumes and a little bit of selling price recovery at 2.4%. But if you look at the volume growth, nearly 8% in this division year-on-year, which has really supported a good performance and turnaround in this division. Breeder revenue up 4.6%. We'll unpack that a little later. Now when you look at this graph, you'd say, well, you've had -- it's been a good year, but operating profit in poultry was down. That's where we come back again to that quality of earnings number. If you take out the hatchery fire and the bird flu insurance claim, which amounts to ZAR 231 million in this division, the underlying improvement in their results is just under 53% year-on-year without that one-off item in the insurance recovery. So a good result in the Poultry Division and certainly one that we're pleased with through the year with all of that recovery coming through in the second half. You'll remember, in the first half, we had a negative PBIT here. We've already spoken about the margins. So the average broiler net margin over the year, 1.5%. It still remains thin and vulnerable to any headwinds, 1.5% margin, if you look at that graph that we showed you earlier on, is thin in the business. And if you just have any shocks, that comes under pressure again. So a lot of focus then on rebuilding cash reserves, which you'll see later. Dries will go through the balance sheet in detail, which sets us up in a stronger financial position than we were 2 years ago or that we were even in a year ago. Of course, with higher volumes, your variable expenses increased, but those volumes assisted your overhead production costs, your fixed costs and our per unit -- per kilogram production cost for every chicken produced came down slightly for the year. So that's the benefit of scale, the benefit of volumes in the business. And then our finished goods stock levels, we've used the word substantially lower than at the end of 2024 because they are -- in fact, they were substantially lower than they were then, with the higher production we have now filtering into the system. It's not sitting in a freezer, and we are selling current production. And by the end of this month, we will surpass 6 million birds a week. This is the sales mix. So we spoke earlier on about a bit of support from the product mix. I'd like to just point out the IQF singles on higher volumes increasing in the year. We still sold 6% into the QSR sector, but on higher volumes. We sold 13% of the mix in fresh, but on higher volumes. So we had growth in IQF. We had growth in fresh. We had growth in QSR. We had growth in value-added. And within the IQF component, we had growth in IQF single portions, which attracts a better NSV. So all in all, support from the product mix with that improvement in selling price. On the Farming Division, Farming Division again had a good year. If you look at Ross Poultry Breeders, our sales of parent stock decreased slightly year-on-year. That is because in 2024, we saw a recovery of parent breeding flocks around the country. So after bird flu in 2023, a number of our customers were restocking. There was quite a big pull on volumes from Ross Poultry Breeders in that year. And certainly, once those flocks have been settled again and stabilized, the volumes in the market this year saw a more normalized level of parent stock sales into the market for -- from Ross Poultry Breeders. Certainly, better demand for day-old chicks this year, and we were able to increase the sale of day-old chicks into the broiler market. Feed input costs increased marginally. We've spoken about how the feed conversion rate offset that increase. Broiler production efficiencies improved, once again demonstrating the good genetic potential in the Ross 308 bird. If you couple that to good feeding practices, feeding programs and good on-farm management, you can generate again what we see as an all-time high reflecting in these broiler performances. And bird flu, we'll speak a little bit about in the outlook. I won't cover it here. These are the broiler performances, all indexed of 2015. So weight and age, average daily gains were slightly up by 1 gram per bird per day over the life cycle of the broiler, but weight for age more or less the same as it was last year. You can see the live weight there, pretty flat and the age pretty flat. Where the benefit came through, though, and unfortunately, given the scale of the graph, it doesn't quite show as much as we'd like to, but feed conversion rates did improve in the year, and that's where we got the benefit in live cost from feeding these birds efficiently and producing every -- or more kilos of meat for every kilo of feed produced. PEF improving at an all-time high. Just very quickly, some industry matters, a couple of topical points. Imports fell off quite a lot during the year, and that just had to do with bird flu around the world and the Brazil closing its borders to exports or rather South African closing its borders to imports from Brazil with the bird flu risk that presented itself there during the year. As soon as they open though, the borders, we've seen an increase again in imports. And we do understand there's quite a bit of chicken on the water. I mean, one needs to -- tend to look into the numbers. I mean about 80% of that though is MDM and bone-in portions. And if you break that down further, about 65% of that will be MDM and 15% bone-in portions and the rest will be tertiary. So Year-on-year, actually a decrease in the import volumes, but really just as a result of Brazil's bird flu. The industry is still producing around 21.1 million birds a week. And if you add imports to that, they make up about 19% of local consumption. Bird flu, we'll talk about in the outlook. It's still a risk. There's still outbreaks in the industry, unfortunately. And as early as last week, a further outbreak was reported. One point that is concerning for SAPA is the AGOA poultry import quota. That's about 72,000 tonnes per annum that's free of the antidumping duty from the U.S. with the 30% tariff imposed by the U.S. and then the expiry of AGOA or notwithstanding the expiry of AGOA, this quota should have already been removed, but it hasn't been. So we are taking this on a legal review with the Department of Trade, Industry and Competition. We believe they're still holding on to it to try and get a deal over the table with the U.S. We seem very far away from that if you read what's going on in the newspapers lately. And we trust they're not using chicken as, no pun intended, a trump card. But all we've asked for is a seat at the table. We want to be part of that conversation if they give up anything on behalf of chicken in this country. And then you all know about the poultry market inquiry and the final terms of reference that were published around that. I'm going to hand over to Dries Ferreira now. He'll take you through the financials in a lot more detail. Thank you. Thank you, Dries.
Johan Andries Ferreira: Something that I just need to quickly highlight here is the efficiency with which we record or convert that revenue line into an operating profit environment. It's really a very healthy operating environment with the trim in the business coming through in the quality of earnings. Operating profit margin, although it stayed flat at 5.5%, really had a much better quality of operating profit. As a result of the quality of the balance sheet improving, you will notice that the finance charges line has improved tremendously year-on-year from the ZAR 138 million cost to ZAR 55 million cost, which includes the right-of-use liabilities, the right-of-use assets with the liabilities attached to it. Overall, net finance cost has come down significantly year-on-year. We, therefore, recorded a profit before tax of ZAR 1.2 billion, up 18% year-on-year and a profit from continuing operations, up 16.4% at ZAR 876 million. Our headline earnings per share on a rand value, ZAR 844 million, and the main difference between the profit of ZAR 876 million and the headline earnings of ZAR 844 million being the disposal of some properties and PPE that generated a profit, which we add back for headline earnings. That leaves us with earnings per share of ZAR 22.76, up 16% and headline earnings per share of ZAR 21.93, 14%. The group annual revenue all the way from where Astral listed in 2001 really tells us the story of an ever-increasing revenue line. And we've got them split into the different divisions, the gold bars showing the Feed Division revenue growth over the history of Astral. The blue bar is the Poultry Division and then the red line showing the group consolidated revenue. And again, just outlining there that hardly ever does the revenue in the group backtrack. We've got an increasing profile in the revenue, which means we're always growing volumes and trying to recover price from the market as we've got the input costs coming into the business. It's a very important aspect to the business to recover the input costs, obviously, to protect our net margin. But over time, there's a significant evidence of that ability to recover input costs. If you look at the different divisions, we've got ZAR 10.8 billion revenue in the Feed Division for this year and ZAR 18.8 billion revenue for the Poultry Division. The group, therefore, coming in with a consolidated ZAR 22.6 billion. Here we go. Annual operating profit recorded per segment or per division, all the way again back to 2001 demonstrates the volatility of the group's profitability. But if you look closer, you'll see that the Feed Division really is the -- as we always referred to it, the banker in our operating performance. And those are demonstrated with the gold bars. You can see this year's operating profit from the Feed Division at ZAR 714 million. Going back in the history, you'll see that, that's a very good performance. Poultry Division demonstrated on the blue bars, you can see the volatility really coming to a fall in the Poultry Division. And that really comes as a result of the fact that we've got feed cost pushes up, and it always takes time to recover that from the market. And therefore, the Poultry Division becomes the ham in the sandwich, so to speak. Operating profit for the group demonstrated on the red line, and we've demonstrated here as an operating profit margin, coming in at 5.5%, again, just referring back to the quality of the 5.5% versus the prior year's 5.5%. And if you look back at the history of the group, again, as Gary also outlined earlier, the volatility trying to peg a number of average margin is not that easy. But as he says, your guess, it could be as good as mine. But definitely a healthy margin at 5.5%, and we have done better in the past, but also worse. I think the reality is that if you look at the quality improving year-on-year, it really bodes well for the foreseeable future. If we unpack it into half year performances, it really starts to outline the quality of the second half earnings for the group. And I'd like to point out that ZAR 976 million operating profit for the 6 months, the second 6 months of this financial year is the second best half year reported profit in 50 cycles since the listing of Astral in 2001. So it really was a significantly strong performance for the 6 months and evenly weighted or well balanced, I should say, between Feed Division performance and Poultry Division performance. If you look at the green line and the red line, we really want to point out there that the green line reflecting the feed price change year-on-year and the red line, the poultry selling price, the broiler selling prices into the market. As you can see, in the 6 months, we've had a reduction on the feed cost input and a recovery in the selling prices. And you can see how sensitive the Poultry Division is coming off a loss of ZAR 26 million in the first half to a profit of ZAR 559 million in the second half. I think one of the highlights of this year's results is the quality of our balance sheet. As Gary also outlined earlier, we were on a rebuild phase, a Re-set, Re-focus, Re-start for the last 2 years being birth out of 2023, the dire environment that we operated in with the load shedding and the bird flu, which wiped out ZAR 2.2 billion off our balance sheet. We concluded the rebuild this year. And if I can just quickly run through that, the equity line at the bottom of this table shows a 13% improvement in our NAV in the group from ZAR 4.752 billion to ZAR 5.375 billion. The main drivers behind that, if I can jump to the top of this table, I'll run it through line by line. Our noncurrent assets, our PPE improved by 3%, showing that we are starting to spend on capital investment in the group, which drives efficiencies and ultimately improves the returns in the group. Our noncurrent assets, our right-of-use assets, at least, has increased from ZAR 178 million to ZAR 286 million, and that is coupled with slightly down on this table, the lease liabilities, which increased from ZAR 184 million to ZAR 294 million. And that mainly relates to long-term leases, mainly relating also to the transport contracts that we run in the group. And there, we've renewed a contract a year ago. You'll recall that a year ago, we had a capital commitment of ZAR 125 million that we brought in from for County Fair, and that one has obviously been started in November last year. And that is the increase in the right-of-use assets. Net working capital decreased by 11%. And that really demonstrates the quality of the working capital management in the group, coupled with the strong pull in the Poultry Division, feed -- for the Poultry Division finished inventory positions, which I'll unpack in a slide later. You'll notice the current assets is the big driver for that improvement coming down from ZAR 4.872 billion to ZAR 4.61 billion with current liabilities flat year-on-year. Noncurrent liabilities, mainly our deferred tax balance and borrowings that's in there, up 27%, and that really demonstrates the deferred tax position that we have in the group where we have a lot of benefit from the tax regulations because we are classified as a farming environment. Therefore, the net assets down 8%. Those are the productive assets that we engage in the business of which we generate our operating profit. And you can see that it's really a good story if you take the balance, the reduction of net assets and the improvement in quality of earnings. It really positions the quality of the financial statements all the way around. And therefore, the big story for the balance sheet is the fact that we restored our net cash balance. We managed to generate a net position of ZAR 1 billion in the year after everything considered, and we moved from ZAR 13 million cash a year ago to ZAR 1.013 billion at the end of September 2025. Capital expenditure, depreciation and amortization for the group ZAR 331 million, a slight increase year-on-year. Two buckets driving that one, PPE, property, plant and equipment at ZAR 241 million and the right-of-use assets, which we touched on earlier at ZAR 90 million. The total CapEx, however, is up strongly year-on-year, and that number is expected to be even stronger for the period lying ahead as we start to reactivate our investment programs after the Re-set, Re-focus and Re-start cycle that we've been through. But also linking that ZAR 336 million total CapEx number to the total depreciation, you'll see that we are very much in line with our depreciation for the year. If you look at the breakdown of that into replacement and expansion, you can see that the replacement CapEx or the maintenance CapEx in the group has received a lot of attention, and that will improve over the period going -- lying ahead in the foreseeable future, and we expect a strong total capital expenditure number there that will drive efficiencies and productivity. Outstanding commitments at reporting date, ZAR 159 million. The main items in there, there's quite a lot of items in there that makes it up. We've got a lot of capital projects undergo at the moment. But the two ones that stand out is really the refrigeration upgrade at Goldi, which increases our capacity. As Gary said, we will, by the end of this month, be just north of 6 million broilers per week being slaughtered, and that is the one activating that profile. And then also we're increasing our hatchery capacity. On the working capital, really a good story to witness here is the current assets coming down by ZAR 262 million in total. The main drivers of that being the poultry inventory. You can see they're coming down from ZAR 1.169 billion to ZAR 682 million, an improvement of ZAR 487 million in cash coming into the balance sheet. The Feed Division inventory position has improved by ZAR 42 million. And the trade debtors, although an increase of ZAR 294 million, it's a healthy increase. We really run an exceptionally clean debtors book in the group, running at a very good profile. All the debtors there is collected. We're really sitting with just about no debtors outstanding beyond due dates. So really an exceptional performance by the credit control team. Current liabilities, as I said earlier, flat year-on-year and net working capital, therefore, improving by ZAR 262 million. On the cash flow, really clearly demonstrated with this waterfall graph. Coming into this financial year with ZAR 13 million cash on the balance sheet net generating ZAR 1.5 billion cash operating profit. Working capital changes of ZAR 276 million. You'll notice the difference from the previous slide. It's really the IFRS application in terms of what working capital changes needs to be rolled back into that cash operating profit profile. And then we've got proceeds from the sale of assets, which I touched on the income statement being the difference in the headline earnings per share versus EPS, earnings per share. So there's a cash proceeds of ZAR 69 million that generated a profit profile that needs to be added back. And then we've got tax paid, ZAR 127 million. Again, the difference between that and the tax charge really driving that deferred tax liability on the balance sheet. And then we've got capital expenditure paid in cash, ZAR 328 million. And then the resumption of dividends at the end of last year with our final dividend being declared of ZAR 5.20 and interim dividend in the first half of the year of ZAR 2.20, translating into a cash payment of ZAR 285 million to shareholders. Closing off with ZAR 1.013 billion on the balance sheet in cash. Headline earnings per share history. Again, you can see the full history here, some volatility in the number. We all know where that comes from. But I think the story to be identified here is the fact we're paying a ZAR 11 dividend this year, which is a 2x cover of our ZAR 21.93 headline earnings per share number that we generated for the year. In summary, we've managed to convert our revenue into profitability on a very clean basis and that generated a significant cash inflow of ZAR 1 billion net for the year, which we could use to redeploy into reinvestment in the business, our capital expenditure profile at ZAR 336 million and returning ZAR 8.80 in the final dividend to shareholders. Thank you.
Gary Arnold: Good. Well, thank you, Dries, for unpacking the numbers a bit further for us. As usual, we'll give the investors a view of how we see the near-term future and balance that with some slightly negative aspects that we see out there. I don't think we can stand here and be completely negative about the future. Otherwise, Anthony is going to look at me and say, you're playing your poker face. But certainly, there are some aspects out there that still concern us. And the #1 risk in the group remains bird flu. I think we must be ever mindful of that. There was an outbreak in KwaZulu-Natal just a week ago. And we are starting to see more and more, and this is across the globe that this isn't just a winter disease. You're seeing it in summer, now on the weekend in the press, they were reporting an outbreak in African penguins. So just off the coast here, which is concerning. So certainly not a winter disease any longer. And there has been slow progress on vaccination. You remember, we reported that we had approval to vaccinate one farm. We received that earlier in the year, which is about 5% of our breeding stock. There was a word in here on Friday that said with very slow progress. And then at about 4:00 on Friday afternoon, Dr. Obed Lukhele, our Head Veterinarian, gave -- dropped us a call and said, guess what, we've just received another 2 permits for vaccination. So we took very out -- just to change it to slow progress because it has been rather slow, even though we now have approval, and we'll look at the timing of that, but we have the ability now with those approvals received to vaccinate up to 30% of our breeding stock. And in the absence of compensation, still an ongoing battle with the Department of Agriculture and in the absence of insurance, good biosecurity and vaccination as a tool in the toolkit is what we have to manage the disease. So under very controlled conditions, we've been allowed to vaccinate, certainly not supporting blanket wholesale vaccination across the industry because that comes with other risks. But under controlled conditions, we are applying a vaccination strategy to deal with bird flu. The economic growth outlook does remain subdued. I mean, notwithstanding some positive signs we've seen in the week, they're talking about a possible interest rate cut and the Monetary Policy Committee getting together soon to look at that. That will have -- does bring some relief to consumers. But I think on the larger front, we need to see growth and development in the country that will create jobs. Without jobs, unemployment remains persistently high, and that just places additional pressure on household disposable income. So we -- that hasn't gone away, and it might seem a bit laborious as reporting it here, but it is a fact, and we need jobs in the country so that people can buy a better food basket and which ultimately put protein in there in the form of chicken. The AGOA preferential trade access, we spoke about that earlier on. This quota is still in play. And we are not sure what will happen with that. Time will tell, although we keep on letting the minister know that we hear and we're available to chat to him. But certainly, the tariffs at 30% and AGOA falling away, will have negative consequences for the country. A small reprieve for the citrus sector on Friday was that President Trump signed an executive order exempting South African citrus from the tariffs. They're a bit short on oranges and apples all of a sudden. So he's now signed that so that our fruits at least can flow into the U.S., free of those tariffs that he's imposed. So that's a small positive sign for that sector in South Africa. And then the poultry market inquiry was launched. It's very wide in scope. It's stealing from every point in the poultry integrated value chain from genetics all the way through to the retail sector. It's very wide in scope, and it will take time to conclude, and we're not sure what the outcomes will be. I mean there's a number of these market inquiries that have been conducted over the years. There are recommendations that are made. Time will tell what that means for our industry. What they're looking at is barriers to entry. They want to try and establish why we have large integrated poultry producers, how does economies of scale benefit poultry production in the country. But we're not unlike any other poultry market across the world in terms of how we produce chicken. So anyway, we'll engage this process positively, and we will wait for those outcomes. We put it on the slide as a little bit of a negative because it is going to take up time and it remains something a little uncertain. I think this -- can we just move to the next slide manually, please. Thank you. On the positive side, as we've already covered, maize prices are favorable, and we expect them to remain favorable unless it just doesn't rain in January and February next year and completely dries up, which we don't expect with the outlook that we have on the weather patterns. We are in the La Niña phase right now. We've moved into that, and we expect that to continue through the South African grain season. So we've had a large harvest in 2025 and a large harvest is expected in 2026, but we've still got a long way to go. A lot of water under the bridge to go, as I say, and we'll keep a close eye on the weather and other metrics there in our procurement strategy. We have increased and are able, by the end of this month, to increase Astral's production volumes again. This does positively benefit economies of scale as long as we can sell it. And the market seems to be very well balanced in terms of supply and demand at the moment, and we are moving into a festive period. And we have this ability or we had this ability to bring these additional volumes to market through the large capital expenditure program we embarked on a few years ago to increase our capacity by 16%. So we were always well positioned with that, and that has supported growth in the retail and quick service restaurant sectors. You see quite aggressive growth there with store rollouts on a monthly basis. And fortunately, they're all looking for chicken. Investment in process and product innovation, some of this is happening as we speak. And there's a couple of nice projects in here or good projects in here, which will enhance our manufacturing capabilities, support efficiencies in the business and will also lead to a product mix -- well-balanced product mix and certainly not indicating there that we're moving away from any one part of that product mix, just balancing that market well. And there are products outside of that, that we use in the integrated value chain that are not necessarily just chicken in the bag at the end of the day, but also ingredients that we produce that support a better feeding cost. Astral stated strategy hasn't changed. Our Board reconfirmed this in February at our strategic planning workshop. We are the best cost producer or we will endeavor to remain the best cost producer. And we're just keeping that steadfast focus on efficiencies. And all my colleagues will know that we keep on having this conversation. And we do have a group-wide awareness campaign around this, which we will keep on talking about because it's critically important that we streamline all our objectives to support this without the best cost producer strategy, we cannot be a supplier of affordable protein to the country. And then we have a healthy balance sheet, which Dries has spoken a lot about. This does obviously then support to key strategic capital investments, which will bring cost benefits, improve efficiencies. And then we must always look at how we will drive volume growth into the future. So this some positives on the outlook and certainly lend themselves to supporting the earnings in the business. If we can just call, I think this is a start. Thank you. I'd like to thank you for your attention today. From my side, thank you to all my colleagues in Astral, and these are your results, and without all the hard work that all of you put in every day, certainly wouldn't be possible. So enjoy the moment. This is your report card and scorecard, and it looks good. And then as you know, Dries is moving on to the industrial sector. I think after 3 years, he didn't -- he thought he had enough of poultry. But Dries, best wishes, and thank you for your support. We've told you, sorry to see you go, but good luck, best wishes. Thank you. Marlize, any questions?
Marlize Keyter: So we'll take questions from the floor first.
Gary Arnold: Any?
Unknown Analyst: In terms of your second half sales increase, is there a correlation as a result of one of the competitors closing down or going into business rescue? Or is it a function more that the consumer with interest rate environment started consuming more chicken?
Gary Arnold: No, there's a correlation with the industry consolidation that we see. I think everyone picked up some volumes there. We were in the fortunate position that we had capacity to do it. And it's got more to do with the fact that the country still needs to produce the 21.1 million, 21.3 million birds a week. So we have participated in that. But there's also been growth in the retail, wholesale and quick service restaurant sectors. One thing I can say, and we believe it does support volume growth through that period as well is that foot and mouth disease took hold in this country quite severely through the year. And you'll see the rally in beef prices. If you go later into the slides, we've got all the additional information. Beef prices rocketed in the year on the back of foot and mouth disease and the quarantine of livestock there in the feedlots. So certainly, that may have played a role as well in supporting the volumes in chicken and poultry. People still buying protein, meat to eat. And those that couldn't afford to buy beef, the next best thing is in chicken. So we do believe that played a role as well in the pull that we've seen for chicken through winter, which was traditionally your slower season. We certainly didn't see that drop off on fresher bird, yes, but not on frozen.
Unknown Analyst: Then my second question is then as a result of that volume increase because of that event, is the price increase the same? As we know that, that entity was selling chicken at a loss previously, which was bringing the whole market down.
Gary Arnold: So -- I mean, I think that points to some of the recovery in selling price through the second half. I mean, as you rightly said, there was the market pricing, and the market was suppressed, particularly through the latter half of 2024, a very competitive environment for frozen chicken. And there were prices out there that just were not recovering input costs. And our responsibility is to recover input costs. And I think we've managed to achieve that through the second half, which reflects in the margins. Anything else online, Marlize?
Marlize Keyter: No, there are no questions, Gary.
Gary Arnold: Okay. Then we've done pretty good job of covering it all. I'd like to thank you all again for attending, especially all of those -- there's a last question, a last entry.
Marlize Keyter: Charl Gous from Bateleur Capital. When we review the FNB agri data report, it seems Astral's broiler price realization lags the data published in the report. Can you comment on poultry pricing achieved and how we should review the data released by FNB? Similarly, CPI data point to more muted price increase in poultry selling. Is this the more correct number to monitor?
Gary Arnold: With all honesty, I don't know a lot about the FNB data that you're referring to. I mean we use some of it in a later slide, but in other proteins. If I could just give you some advice, refer to the SAPA average selling prices that are published in their production reports. They take information from the whole sector, go through a third-party Chinese walls, that's assembled, put together, probably a very reliable source of information when it comes to selling price trends. I'm not saying the FNB data is not. I just don't know the source. It could be on-shelf pricing or not, but the producer pricing that we provide, I think, is a reliable source. And you'll see that, that is included in a slide later on in the show.
Marlize Keyter: The second question, the balance sheet is strong with improved cash generation expected. How do we view the potential for special dividends in the short term?
Gary Arnold: The Board has, as you know, taken a decision for -- to declare dividend, final dividend at 2x cover, and that was with cognizance of our CapEx program going forward. I think the first task for us as a team was to rebuild the balance sheet. We've just done that. So certainly not walking out of that immediately thinking about special dividends. But looking at a project pipeline where we have as you'll see the CapEx for 2024. And we had to pull the reins back a bit with the cash that we bled from the business in '23. And '24 was a rebuild phase. So certainly, we have good places to spend the money. We will apply those funds wisely. And again, there's a lot of projects in there that will benefit the business going forward and improve earnings over the longer term. So we should look at that first. And yes, then it depends on the cash. We'll make those decisions as and when necessary with the Board. But certainly, no shortage of projects right now that we don't need the cash. So not looking to dish it out too soon.
Marlize Keyter: Thank you. His third question, can you provide a poultry volume target for full year 2026? And what percentage increase do you target?
Gary Arnold: Look, I can't. I think -- I don't think we can say, Marlize will kill me if I give you a forecast like that. We're going to produce, as we've said, 6 million broilers a week. We must sell that. It's not good we produce it and put it in a freezer. So it's going to depend largely on market conditions through the year. We are only in the second month of our new financial year. We're in the -- we're going into festive period, so good demand at that time. But normally in January and February with all the obligations that families have towards school fees and everything else and spent all their money through Christmas, you do see a softening in the market. So we've always said we must balance our supply with demand. And we're not going to be reckless about that. And there's always a lead time to that. It's at least 8 weeks, 8-week window we have to look into to balance it. But certainly, we'll need to -- I can't just say we're going to keep on producing and keep on selling. There needs to be that pull from the market.
Marlize Keyter: Rajay Ambekar from Excelsia Capital. Do you expect imports to drive pricing pressure going forward with cost dropping and the rand being strong?
Gary Arnold: It depends on what's in those imports. MDM makes up a large portion of that clearly because the country doesn't produce mechanically deboned meat. We sell the whole carcass, stripped carcass. So we don't produce MDM here. And that continues to be the largest portion of those imports with bone-in portions making up some of it and then offal or tertiaries making up the rest. It depends what happens to the volumes around imports. I think we should remember that we now, as a country, have an antidumping duty in place against Brazil and 4 European countries. The AGOA quota should be removed. The U.S. are having a bad time of bird flu, so hardly any chicken coming out of the U.S. to South Africa. Europe countries are opening and closing as bird flu hits their borders. So it's quite a disrupted -- quite disrupted trade flows at the moment. And most of the imports are coming out of Brazil. And again, a lot of that is MDM. So difficult to say that there will be this flood of imports, and it's going to impact pricing in the country. We have an MFN duty, most favored nation duty plus antidumping duty against Brazil, which was implemented a couple of years ago already. And that's a better position to be in than we were a few years ago.
Marlize Keyter: Charl Gous, would you like to extend your feed procurement beyond 3 months given favorable feed input costs?
Gary Arnold: We've got a procurement committee that looks at all the inputs, the technical data, the weather, recommendations from the trade and our suppliers, and we take a view. So certainly, if we need to take a longer position, we do that. We will determine what that strategy will be. And then we've got a daily procurement execution team that will go and fill that book. Our minimum coverage there is 3 months in the pipeline. That's really just to get physical deliveries to the mills. But certainly, we do from time to time, hold a longer position than that. And in the maize market like we're currently pricing, I don't think it's unreasonable to expect to hold a longer position.
Marlize Keyter: We've got an audio question from [ Tabang Kapindayi ].
Unknown Analyst: It's Tabang Kapindayi from the University of Johannesburg, doing my PhD research, specifically on feed efficiency and antimicrobial resistance, which focuses on multi-omics in poultry systems. My question is for the leadership. And also congratulations. I've also send my congratulations also to the team as well on the impressive turnaround and a strong cash position. My question is on research and development because I have noticed that it was also mentioned like throughout your impressive like presentation. Given that the feed cost represent like 66% of your production cost, your single largest, obviously, expense at the moment. Could you outline the specific research and development initiatives prioritizing to systematically reducing this cost burden and to protect your margins? I'm particularly interested in the role in advanced nutritional science. So if I can just understand the priorities in terms of research development in that regard.
Gary Arnold: Thank you for the question and the well wishes. Certainly, I mean, we have an ongoing research and development program. We've got a broad team of nutritionists in the group. We've got veterinarians in the group that are constantly working on feeding programs and feeding specifications to exploit or maybe a better word is -- what's the word I'm looking for, Dries? Yes, is to get the best genetic potential that exists in the bird in performance out of that animal. So we do have in-house R&D. We do have in-house testing facilities, and we are constantly testing feeding programs and developments in nutritional science with new ingredients, feed ingredients out there and as such to improve our performance -- broiler performances and thereby support a better feed conversion efficiency. But certainly something that you welcome, we can always set up some engagement with our nutritionists to explore this a bit further.
Unknown Analyst: This is a follow-up question. Yes. I was saying that like have you also looked into maybe collaborating with -- considering maybe like this, what you have already presented, as Astral maybe considered collaborating innovation models with like universities and institutions, particularly like with the feed industry, with the feed sector, AMR reduction as well as precision maybe nutrition trials, even though you have your in-house and also maybe collaborating with academia.
Gary Arnold: Yes. We do collaborate with academic institutions, both locally and abroad. So we draw on technical know-how abroad and research just performed overseas as well as locally, and we do have relationships with a number of local tertiary institutions.
Marlize Keyter: [ Harold Sigola ], given the financial results, what is your view on reinvesting profits versus cost containment for the coming financial year?
Gary Arnold: Well, we always -- cost containment is a continuous focus point, and that starts with managing the business right. So we will always look at opportunities to reinvest profits. Obviously, we want to as long as possible. We'll keep on rewarding shareholders as long as there's profits there to do that. And then if there's profits there, we need to reinvest them back in the business. It's a large business, requires a lot of repairs and maintenance and capital expenditure in maintaining or upkeep of the assets. We are a custodian of these assets, so we need to look after them and then certainly exploiting opportunities to improve costs and efficiencies.
Marlize Keyter: There are no further questions.
Gary Arnold: Thank you, Marlize. Thank you, everyone. Appreciate your time today and your attendance, and go well. Best wishes. Thank you.